Operator: Thank you for joining us today and welcome to AmeraMex Year-End 2021 Financial Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Today's call is being recorded. I would now hand the call over to Marty Tullio. Please go ahead.
Marty Tullio: Yes. Good morning, everyone and our sincere apologies for the delay in getting the call started. Before we begin today's call, it’s important that everyone understand that statements made in this conference call that relate to our future financial results, market size or growth plans are forward-looking, and these forward-looking statements involve certain risks and uncertainties associated with the demand for the company's products and services and the development of markets for the company's products and services. As you know, actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex undertakes no obligation to release publicly any revisions to these forward-looking statements as a result of unanticipated events after the date of today's call. Now, I'd like to turn the call over to AmeraMex CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty. Thanks for joining us this morning for our 2021 year-end conference call. With me today is our CFO, Hope Stone; and our board member Marty Tullio. 2021 was a great year for us. Momentum began in the last six months of 2020, continued strong through all of 2021, and we look forward to announcing a strong first quarter of 2022. We're positioned to maintain our revenue growth and continued profitability. To maintain our growth, we're adding new lines of equipment to our inventory. The latest line is the Magni rotating telescopic handler. These are manufactured in Italy, and are very high quality machines. They have lifting heights of 57-feet to 167-feet. It will lift between six and 8,800 pounds, 28,006 on the shorter boom and larger machine is the largest capacity. One, Magni can be a telescopic forklift, a rough terrain crane, an aerial work platform, and many, many other attachments. There's over a hundred different attachments available to fit the end of the boom. This is possible because of the specialty attachment system that can be purchased for the equipment. We recently entered the Magni at a heavy equipment show in California and the versatility of the equipment created a great deal of interest. We're currently applying for floor plan financing for the equipment. In addition to new lines, we're adding -- we have noticed an uptick in the heavy construction industry. There are dozens of highway jobs starting, which include equipment for heavy earth moving projects. These jobs have been way down on the list for over 10 years and very little equipment was sold. Now this industry is kicking off again, starting late spring, we will be focusing on buying and selling heavy construction equipment. Again, this market has been pretty slow for a -- since 2008, actually. I would now like to turn the call over CFO, Hope Stone, so that she can provide an overview of our financials for the year 2021. Hope?
Hope Stone: Thanks Lee. Good morning, everyone. Let's begin with an overview of the statement of operations for the year ending December 31st, 2021. Revenue was approximate $24.7 million. This is well over 100% increase when compared to revenue of approximately $12 million in 2020. Like most companies, our 2020 revenue was negatively impacted by COVID. Gross profit for the year was approximately $5 million, with the gross profit margin of 20%. Gross profit for 2020 was approximately $1.8 million, and gross profit margins of 14%. Our gross profit increased over 200%, and gross profit margins increased 30%. Our profit margins are based on product mix and the ability to control our cost of sales expenses. Profit from operations for the year was $3.2 million compared to a net loss in 2020 of $59,000. Net income for the year was approximately $1.6 million compared to a net loss of $583,000 for that year of 2020. Earnings per share were $0.11 compared to a loss per share $0.04 in 2020. And we had an EBITDA of $4.3 million, that's earnings before income tax, interest taxes, depreciation, and amortization. Our balance sheet overview. Our balance sheet is stronger with cash of approximately $1 million and a reduction of our total liabilities of $3.6 million for the year. We are happy to announce that we have just secured floor plan financing of $3.5 million for both new and used equipment. Interest rates are at 5%. This is -- this rate is significantly less than we have been paying. And there are no prepayment penalties. I would like to turn the call back to Lee.
Lee Hamre: Thanks Hope. Before I open the call up for Q&A, I wanted to add that our target markets, lumber, agriculture, transportation, manufacturing, and now heavy construction equipment appeared not to be affected by the recent growth of inflation, as they have been able to pass the rising costs onto their customers. Locally, as well as throughout the west coast, many home starts are being approved and areas affected by the fires over the past three years. Home starts have slowed down just a bit because of the rising cost of materials, but in California along construction of replacement homes along with is expected to continue for five to 10 years. Homes and structures lost in California along total -- alone total over 20,500 with 14,000 of those structures, less than 30 miles from our corporate headquarters. To date, only 1,092 of those structures have been rebuilt or started to be rebuilt. The Forest Service and the California Division of Fire have begun award contracts over the past few months. And the pace is now increasing. These contracts are going to small business machine owners that can go into the woods and clean up brush and other fuels for forest fires. We're selling the ASV track skid steer machine from Minnesota, with a brush grinder attachment on the front that can go into the woods and grind the underbrush to cut down on the fuels that start forest fires. With the construction business picking up and continued strong sales of container handlers, agriculture and manufacturing equipment, we predict another great year for AmeraMex International. Operator, would you like to begin the Q&A?
Operator: Yes. Thank you. We'll now be conducting the question-and-answer session. [Operator Instructions] Our first question is from Keith Van Allen [ph], Private Investor. Please go ahead with your question.
Unidentified Analyst: Yeah. Hi. Thanks for taking my taking my question. Just curious if your net income for the year benefit from any payroll protection or rebase?
Lee Hamre: Hope, you want to take that one?
Hope Stone: Yeah. We did receive a 257,000 Paycheck Protection loan. That was then 100% forgiven. So that was a very small percentage.
Unidentified Analyst: Was that in the fourth quarter?
Hope Stone: Yes. We -- the Paycheck Protection loan was received in April and it was forgiven in the fourth quarter, correct.
Unidentified Analyst: Okay. Thank you very much. I will pass it on.
Operator: Thank you. Our next question is from the line of Elliott Hinman [ph] with SNH Finance. Please proceed with your questions.
Unidentified Analyst: Hi, Lee. Good morning. The sales, look like they're going to be pretty good again, probably be, as you say, if not better, but the overall question here has to do with additional new investors entering the market and moving that volume. I mean, some days there are no volume. Some days there's 200 shares trade in. Some days 4,000. How are things going with bringing in new investors? It's this -- we'll never be able to move this up without any new investors, our core investor group, which includes mine isn't going anywhere. We're not going to be -- we have no plans on selling stock. And I think that's probably an overall statement of 80%, 85% of the people that hold stock now, including board member and associates and whatever. So, this is something that my group is pounding me on. And I'd like to hear what you got planned and if there's anything we can look forward to in the future in regards to new investors entering AmeraMex and increasing this volume.
Hope Stone: Okay. Well, Elliot, we do have a program we're working with now and it is an electronic marketing program by a company called V2 Technologies. And they have been doing a very good job and starting to bring people to our website and to their website where we have our company presentation, our press releases, et cetera. And we've been getting an amazing amount of hits. It started probably about six weeks ago. Secondly, and unfortunately, the news hasn't been so good, so I don't know how much attention we often get, but we have a lot of hits. We haven't seen what we would have liked to seen from those hits yet. But again, as people getting acquainted with the company and new eyes on the company, I think today's press release is going to be a nice kickoff with these people or potential investors. And our second program started about a month ago and we pulled it until things calmed down in the stock market. I felt that -- in discussing this with management and the board that it -- and with the company that we were talking with, that we should wait for another couple months to kickoff again, because we need to be able to get people's attention and currently people's attention are another places as opposed to MicroCap companies. Did that answer your question?
Unidentified Analyst: I guess? Thank you. I guess, there's nothing more to say about it until new investors come in. It's just such an overhang on moving the price.
Hope Stone: We understand. There's not a lot of stock in the market seriously, but there is -- I think that our top line growth has been nice, but now we're starting to see a real uptick in the bottom line profitability, and I think that's going to be an interest to potential investors and the ability to grow all these investors digitally over to take a look and be introduced to AmeraMex is going to be significant in the future weeks coming.
Unidentified Analyst: Okay. That's it for my question. I mean, that's it.
Hope Stone: Thank you. Elliot. Appreciate it.
Operator: [Operator Instructions] The next question is from the line of Alan Drager [ph], Private Investor. Please proceed with your questions.
Unidentified Analyst: Good morning, Mr. Hamre. First of all, congratulations on excellent newest results.
Lee Hamre: Okay. Well, thank you.
Unidentified Analyst: I do have a couple of questions for you. The first one is, I'm assuming that what you've announced today are unaudited figures. Do you anticipate that when they are audited, they will be pretty much the same?
Lee Hamre: I think this is a question for Hope, but I do believe that we're real close.
Hope Stone: Yes. These aren't changing. We're filing today momentarily. So.
Unidentified Analyst: So, the audited results will be exactly the same as what you announced today?
Hope Stone: Yeah. These are the audited numbers, so yes.
Unidentified Analyst: Well, you said that -- in your announcement, you don't say that they're audited.
Hope Stone: Okay. And oversight this. Yeah. This is -- today's the due date for the filing and it's getting submitted before [indiscernible].
Unidentified Analyst: That's great. I mean, I only make the point, because talking about bringing a new investors, they always want to see audited statement is a very reassuring thing to see.
Hope Stone: Right. Right.
Unidentified Analyst: I do have a second question and that is, I guess for you or for Mr. Hamre, can you confirm that you have no plans for any share dilution during 2022 and beyond?
Lee Hamre: We don't have any plans for dilution. No.
Unidentified Analyst: Okay. Because there was a case, I think, where with the supplier you had a convertible arrangement.
Lee Hamre: We've talked about that some, but Marty?
Marty Tullio: Actually, there's everything's off the book and all clean. There's nothing going forward and that was cleaned up last year. The convertible was repaid.
Unidentified Analyst: That’s great.
Hope Stone: Yeah. We have no convertible notes.
Unidentified Analyst: Although, you did last year. I am sorry.
Hope Stone: Yes. Yes. They've all been paid off.
Unidentified Analyst: That's wonderful. So, I mean, from my point of view, everything that was great for the future. Thanks.
Marty Tullio: Thanks Alan.
Operator: Thank you. [Operator Instructions] Thank you. At this time, we have no additional questions. I will hand the floor back to Lee Hamre for additional remarks.
Lee Hamre: Okay. We would like to thank all of you for taking part in the call and for your continued support. We look forward to talking with you when we announce our second quarter financial results. Thanks again. Have a great weekend.
Operator: This will conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.